Operator: Good day, and thank you for standing by. Welcome to the Viridien First Quarter 2025 Financial Results Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question-and-answer session. Questions. [Operator Instructions] Please be advised that today's conference is being recorded. I would like to hand the conference over to speaker today, Jean Baptiste. Please go ahead, sir.
Jean Baptiste Roussille: Thank you, Nadia. Yes, good morning and good afternoon, ladies and gentlemen. Welcome to this presentation of Viridien first quarter 2025 results. I'm Jean Baptiste Roussille, in charge of Corporate Finance and Investor Relations. And the call today is hosted from Paris, where Sophie Zurquiyah, our CEO; and Jérôme Serve, our Group CFO will provide an overview of the results as well as comments on our outlook. Following the overview of the year, we will be pleased to take your questions. And before I hand over the microphone to Sophie and Jérôme, just a few words to tell you that I'll be leaving the company tomorrow. It has been an exciting year preparing and completing successfully the refinancing of our debt and I wanted to thank Jérôme and Sophie for giving me the opportunity to join the team a year ago and grow professionally and personally. Starting tomorrow, I will be replaced by Alexander, who is actually with us as well today. And Alexander actually, I could say that the share price always doubled under my watch, and I wish you all the best of luck to do even more. Now, I leave you with Sophie.
Sophie Zurquiyah: Thank you very much, Jean Baptiste, for your contribution over the last year and I wish you the best. Welcome, everyone, and thank you for attending this presentation. Our market environment remained favorable during the first quarter, marked by robust business performance, significant commercial wins, and solid profitability in line with our long-term ambition. Revenue grew by 10% and our EBITDA increased by 35%, achieving the strongest profitability for the first quarter over the past decade. Net cash flow was minus $20 million or positive $22 million when correcting for interest, which were exceptionally paid in Q1 versus historically in Q2. Recent global developments with tariffs and additional production from OPEC+ has introduced uncertainty in the market. However, as of this call, we have not observed any significant changes in our clients' behavior. We are primarily exposed to offshore deepwater projects, which require a longer-term perspective. And during the quarter, we have seen our clients increasingly focused on reserve replacement and organic exploration. Outside of any global geopolitical or economic consideration, which may increase impact into the future, our first quarter was marked by two key events. First, our vessel capacity agreement ended in January, further enhancing our asset-light strategy. This transition provides us with significantly greater financial and operational flexibility. Second, we successfully delivered all targeted milestones to-date from our financial roadmap, which we presented in our Q4 2023 call. This included the recent refinancing of our debt, which extended its maturity to the end of 2030 and reduce the level of gross debt by $200 million compared to a year ago by utilizing excess cash on our balance sheet. Our liquidity remains strong, bolstered by an increased RCF facility, which demonstrates the trust our banking partners having a group. We reiterate our strong and continued commitment to reducing leverage using our increasing cash generation and looking forward to further growing our company and delivering increased value to our stakeholders. We'll go on to Slide 6 now, with DDE segment. DDE segment revenue grew 16% to $214 million with adjusted EBITDA up 32% at $137 million with both Geoscience and Earth Data contributing positively. Slide 7 is Geoscience. Geoscience external revenue reached $110 million, up 25% compared to last year, as we deliver on our strong backlog. There was also a positive impact from a significant sale of our Duration software. We continue to invest in our high-performance computing, to enhance productivity by automating manual task and delivering the highest quality imaging results to be leveraging our digital expertise. Looking at Slide 8 is Geoscience, operational highlights. Our Imaging business has shown exceptional strength driven by the global adoption of our advanced Elastic Full-Waveform Imaging technology. North America exceeded expectations with stand out performance and we recently secured a seismic re-imaging project in Algeria, highlighting sustained interest from clients in the Middle East and Africa for our highest-quality imaging solutions. We continuously broaden our client base, as the value of higher imaging becomes increasingly meaningful. Additionally, we made a significant sale of a Duration Imaging software, as I mentioned earlier, which is typically sold to national oil companies to support the internal processes. In Low Carbon, we are working on a large critical minerals study in Saudi Arabia, leveraging our unique capabilities and strong brand recognition in the Kingdom. We also won a new project in the North Sea, for Carbon Sequestration, thanks to our innovative GEOSIM solution, which is a copper-breathing mechanical modeling and simulation software technology. In HPC & Digital, we onboarded two new clients on our cloud platform one in Materials Science and the other Image Rendering. Moving on to Earth Data with Slide 9, Earth Data segment revenue grew 7% to $104 million, compared to last year, making it a strong Q1 historically. Our new KPI, cash EBITDA, grew 12% to $39 million, while we finalized the acquisition phase of our Laconia project. Now going on to Slide 10 for the Operational Highlights, during the first quarter, we completed the Laconia Spark Node Acquisition in the U.S. Gulf and the early results are delivering game-changing images. Alatus Technology is revealing new geological details of the subsurface, enabling our clients to significantly reduce their exploration risk. We believe that this new data is this real data set. It's timely for the recently announced offshore exploration round in Israel. In Brazil, we received the environmental permit for the MegaBar extension of our program in the North Sea, a frontier area of interest due to its similarities with Guyana and Suriname. Leveraging our digital leadership, we really invest in reprocessing project, which allows us to extract more value from existing data at a marginal cost compared to new acquisitions. We are making great progress with an industry-funded re-imaging program in Ivory Coast, targeting a basin with the potential for multi-billion barrel over here. In the low carbon space, finally, we completed two carbon storage screening projects for Continental Europe and have more opportunities in the pipeline. Now turning on to Sensing and Monitoring on with Slide 11. Our first quarter SMO segment revenue was $87 million, remaining nearly stable compared to the previous year. This stability was characterized by increased revenue from land activities and reduced revenue from marine activities. The adjusted EBITDA was $14 million, a margin of 16%, showing the positive effects of our restructuring plan. Now on slide 12 with operational highlights. We are experiencing steady activity with national oil companies on land project and see strong interest in our nodal systems across a broad range of geographies. Latin America and North Africa are experiencing increasing activity, while in Asia and the Middle East activity remains sustained. Marine is driven by the sale of stream resection to replace older equipment as well as our bioleading acquisition software systems, OBN stream navigation and Gator seabed and module operations. This software helps our clients optimize their seismic operation. And this technology was further adapted to support Ports & Logistics activities and sort of mining in the marketplace, bringing efficiency, transparency, and enhanced safety to maritime operations. We had another successful sale of Marlin this quarter in Asia, contributing to our new businesses' revenues. And further in our new businesses, we secured new contracts for infrastructure monitoring in North America. And we're also witnessing growing global demand for geotechnical monitoring, particularly in the rail and mining sectors. Our defense business is benefiting from supportive momentum and increased opportunities. And looking ahead, SMO should be well positioned for both growth and improved profitability through the cycles. Let me now hand the floor to Jérôme to comment on our financials.
Jérôme Serve: Thank you, Sophie. Good morning and good afternoon, ladies and gentlemen. Let me start by thanking Jean Baptiste for his contribution over the last 12 months in revitalizing both our credit and equity stories. Jean Baptiste, I wish you the best for your next endeavor. I'm also very pleased to welcome Alexandre Leroy to the team and no doubt that Viridien will benefit from his strong experience as a self-led analyst and more recently as investor relations and financing director in big corporates. Back to our Q1 results. As Sophie already mentioned, Q1 was a solid quarter for Viridien in terms of financial performance by achieving more than 300 million of revenues, 47% EBITDA margin and more than 20 million of cash flow before interest. Let's start with the P&L on slide 14. Segment revenue was up 10% year-on-year, reaching $301 million, mainly driven by the growth of our Geoscience and our data division, which increased by 25% and 7% respectively. Thanks to this positive business mix, segmented EBITDA was up by 35% versus Q1 2024 at $143 million. This performance also benefited from the end of our vessel contractual commitment, as well as the SMO cost optimization plan starting in Q1 last year. Net income was negative at minus $29 million, mainly due to more than $40 million of one-off cost related to our recent refinancing, including fees and non-core premium. Moving on to group cash flow on slide 15. Our net cash flow for the quarter was minus $20 million. This includes $42 million of interest payments made in Q1 related to the redemption of our old bonds as part of the refinancing process. Excluding these interest payments, which are usually paid in Q2, net cash flow would have reached $22 million. Note that these figures remain below Q1 '24, mainly due to an unfavorable change in working capital of $47 million which can be explained by, one, the early collection in Q4 that we mentioned during our full year results; secondly, higher data sales that happened late in this quarter, and lastly, some payable phasing linked to the new server in the US. Looking ahead, assuming moderate situation in the old market, we continue to expect to achieve $100 million of net cash flow for 2025 with a strong second half seasonality like previous years. Moving on to the balance sheet on Slide 16. This reflects the situation post refinancing. The refinancing indeed happened on March 26. And this clearly shows the deleveraging trajectory we have embarked on over the past 18 months. At the end of March 25, our IFRS gross debt is circa $300 million lower than 1 year ago standing at $1.120 billion. Our IFRS net debt stood at $974 million, leading to a 2 times net debt over EBITDA ratio. Following the refinancing, we have also ample liquidity to operate with circa $150 million of cash in hand at the end of Q1, as well as a new FTF for $125 million fully enrolled out of which $15 million of [indiscernible]. Moving on to our financial road map on Slide 17. We have now added one of which is a completion of refinancing, more than less with $100 million net cash flow generation target for 2025. Note that we could have actually take twice the rerating box since after the upgrade by Fitch and S&P last year, all 3 credit rating agencies assigned to the new bonds in issue rating one notch above the existing notes, i.e., B2 for modes, B for uncertainty, BB minus. Slide 18 and the final slide for me, where I would like to emphasize our asset-light business model, which provides significant operational and financial flexibility through the cycle. We believe this is quite unique with no real comparable player in the oilfield service market offering this level of flexibility. Indeed, all our 3 business segments has significant flexibility to do weather a downturn scenario and remain cash generated. Starting with Geoscience. The majority of Geoscience cost base is related to personnel costs in key locations like UK, US, which can be optimized. Secondly, most of our computing equipment in our HPC data center or short-term lease, giving us the ability not to in new leases that expire in any given quarter. Overall, this gives us the flexibility of circa 75% of our cost base, positioning [indiscernible] in case of a downturn scenario. Moving to our data. With the end of the vessel capacity agreement in January '25 will no longer have vessel commitment and any associated finance. This means that excluding our committed investments, which are already prefunded, we can reduce to zero our multi-client investments in the event of a downturn. Given that we target a minimum 80% prefunding on all mass client investments, our maximum exposure is a targeted to 20%, which we can successfully mitigate in a downturn by scaling down other plan not committed invest. Finally, Sensing and Monitoring. Although this division is not completely asset-light as we maintain some manufacturing capabilities, the cost optimization plan that we launched early last year has allowed us to optimize both our cost base and capital employed. As a result, we have successfully lowered the breakeven point of the business to match the lower cycle performance levels since in 2022 and during this period. Overall, by activating all the levers I've just described across our three divisions, we believe that even under an adverse downturn scenario such as during COVID, when revenues were slightly above $900 million will still remain cash positive. Our asset-light business model is truly designed to effectively mitigate any potential cash burn from the segments. I'm now handing the floor back to Sophie for some final remarks on our outlook.
Sophie Zurquiyah: Thank you, Jérôme. I'm on Slide 20 now. Looking forward, the macro environment is expected to remain uncertain and potentially volatile. We are monitoring current trends closely along with the impact on oil and gas prices, which influenced our client reaction. At this time, we do not observe significant changes in our clients' behavior. We anticipate that as long as Brent crude remains within the US$65 to US$85 per barrel range, particularly for the deepwater and the markets of the NOCs that are characterized by a long-term perspective, activity for Viridien will remain like today. Remember that we do not have exposure to the US land market. In this context, while overall E&P CapEx may experience a slight decline, we believe our clients will maintain budgets for high-end imaging work, which is crucial for the efficiency and overall success. We may encounter delays in multi-client projects and see some shifts in SMO deliveries, but our asset-light model provides us the flexibility to adjust, protect our margins and preserve our cash flow generation. We have demonstrated our ability to navigate through economic cycle, particularly during the COVID pandemic. And today, our company is stronger and better positioned. Looking forward, we will continue to focus on what we can control to deliver the best value to our stakeholders. Our central assumption remains a moderately fluctuating oil market, leading to relatively stable E&P CapEx environment. Based on this assumption, we continue to anticipate generating approximately $100 million in net cash flow in 2025. Thank you for your attention, and I now look forward to your questions.
Operator: [Operator Instructions] And now we're going to take our first question. And the question comes from the line of Jean-Luc Romain from CIC Market Solutions. Your line is open. Please ask your question.
Jean-Luc Romain: Good afternoon. Congratulations on the refinancing. I have two questions, actually, one about the non-core and HPC businesses. How did the sales evolve in terms of growth compared to last year? And how do you see those continuing to evolve in the next few quarters? Second question is about Geoscience. You had a quite strong increase in your sales plus 25%. Did you benefit from higher prices? Or was it only volumes?
Sophie Zurquiyah: Okay. Yes, hi. Let me try and answer your question. So first, on new businesses. And remember, new businesses is the combination of low carbon, which is carbon sequestration, minerals and mining, digital, which includes HPC and infrastructure monitoring. This actually, when we look at it in Q1, we had a bit of a slow start of the year compared to a year ago. Now it's not a business that is actually continues. Here and there, we do get some big deals that can skew the numbers from one quarter to another. So at this point in time, we feel like we're still on our trajectory. However, I want to point out a bit of a slowdown on the carbon sequestration side because of the regulatory, maybe the uncertainty around North America and as well as some of the IoT in Europe cutting their CapEx in that space. So that's the first question. The second question is on Geoscience. And as you pointed out, we've had a very strong increase. Parts of it is linked to our strong backlog. So we're delivering through the backlog. So there is actually a volume increase. And also, there is that duration sale that are pointed out and this one creates a bit of discontinuity if you want. I mean those duration sales that can come as a block one quarter or the other and sort of distort the comparables Combination of the two, that one-off and then the increased volume of activity.
Jean-Luc Romain: Thank you so much.
Jean Baptiste Roussille: Sure.
Operator: Thank you. Now we're going to take our next question. Just give us a moment. And the question comes from the line of Baptiste Lebacq from Oddo BHF. Your line is open. Please ask your question.
Baptiste Lebacq: Yes. Hi. Good evening, everybody. Congratulations for the refinancing. Two questions from my side. The first one is related to your comments dedicated to supportive environment for defense business. Can you give us some, let's say, indication on what you are doing in this part of the business and what is the size in terms of contribution? And second element, just a clarification regarding your guidance of net cash flow for 2025? Is it with or ex, let's say, exceptional element due to the refinancing that you registered during Q1? Thank you.
Sophie Zurquiyah: Okay. So good evening, Baptiste. Let me take the first question will Jérôme will give you the answer on the net cash flow. So in terms of the defense business, we just decided to point it out because we do see a pickup in that space. Now in terms of what we provide, as you can imagine, our sensors are really good at listening, what's going on. And of course, it's something that's quite handy and useful in the ocean, especially when you're looking at security of the sea pro and security of the oceans. And so that includes adaptation of sort of streamer type of products for the defense industry and also umbilical cables that also are being sold to defense industry. So it's a combination of different types of products. And we are working with, sort of, a Tier 2 with defense companies. In terms of what that represents right now, I would call it short of 10% -- 5% to 10% of the SMO business. So it's just a small number, but this is something that we have hoped can grow.
Jérôme Serve : Regarding your second question, that is the $100 million exclude the $40 million more or less cost attached to the refinancing. So it's business as usual.
Baptiste Lebacq: Okay. Thanks a lot for your clarification.
Operator: Thank you. [Operator Instructions] And now we’re going to take our next question, and it’s comes from the line of Kevin Roger from Kepler Cheuvreux. Your line is open. Please ask your question.
Kevin Roger : Yes. Good evening. Thanks for taking the question. I have three, if I may. The first one, if you can give us a bit of in a way, visibility, granularity on the EBITDA margin at DDE, which came quite strong at 64%. I guess, there is a large part related to the end of the commitment Shearwater. But I was wondering if there is any positive effect of a late sales that have very positively contributed to the margin? Or if in a sense, the 64% margin can be considered as a kind of run rate now that will be the first one, please. The second one is on the CapEx. I really understand that you have a lot of flexibility now in terms of new survey, because you don't have the commitment, et cetera. But is there any in a way a sense that you can share with us on what's your current plan right now in terms of investments for new survey, new data or CapEx on new either nodes or 3D, 4D surveys. So what will be the CapEx for multi-client this year? And the third one is on the -- in a way, current macro environment. And Sophie, you mentioned that up to now there has been no change in the discussion with your clients and that the guidance that you are providing us is assuming relatively flat E&P CapEx. But some of the U.S. names such as SLB, Baker, Halliburton, they were quite a bit more negative on that side than you saying that there would probably be a kind of mid to high single-digit decline in E&P CapEx. I was wondering if they are correct, what would be, in your view, the impact on your expectation for this year, please?
Sophie Zurquiyah : I'll give you color on each of these from the sort of business standpoint, first good evening. Kevin, thanks for the questions, and thanks for attending. And I'll let Jérôme if you want on the EBITDA side. But generally speaking, the high margin of DDE is linked to volumes, there is more revenue, both on geoscience and on EDA. And the duration sales, that's why I pointed to that as the big explanation of some of the increased margin because it's just software sale that sort of the software cost is there. And so it's just the 100% fall-through basically. So that really creates that. After sales were good, we were happy with that. And that's why we're saying, hence my comment and saying that our clients are really going back towards organic exploration, and we see more activity on that front. On the CapEx one, I think we gave some kind of direction probably at some point that will be somewhat lower than the prior year, which was $250 million, we're saying, I'd say, between $150 million and $200 million. But the reason we don't want to talk about CapEx is, I don't really know where we'll end the year. We could do more or less, but we're going to be looking at the cash EBITDA and the cash generation. What I see today directionally is that there's demand for OBN, more OBN survey in the US call. It depends on prefunding. It could be a good prefunding, we might go for it or not. And we have a number actually of streamer surveys in the pipeline, but they're pending environmental permitting, or the pending governmental decisions. There's a lot of sort of delays in that space. The one that most likely we'll be doing is the Northeast survey in Northeast Brazil survey that sort of has been in the pipeline and for which we got the permit. So that's for this year. And in terms of the macro environment, I've been reading with the tension that what the large OFF have been saying, including Baker. It's a mix of different things. They all said that the big drop will come from North America land, and that's why I said, we are not exposed to North America land. They recognize all of them that the cuts will be coming from certain -- maybe some areas of the value chain more than others. So I think the rig side and the drilling associated activities will be done, because there's less exploration mix, for example. But if you look at the comments from SLB, they were quite a bit on the -- what they call the digital side of their business, which is actually where they can Earth Data or the multi-client and the Geoscience business. So I would say, which is we're pretty much in line with their comments, but the products that are negative were not so exposed to.
Kevin Roger : Okay. Understood. Very clear. And if I may, just as a follow-up, effectively, SLB, they were quite bullish on everything related to Geoscience that digitalization, et cetera. So have you seen a change in the competitive landscape here from SLB making a push on this segment?
Sophie Zurquiyah: I think they're fair competitor. I think we're trying to improve on technology. I think our clients do appreciate our technology. They seem to be favoring our technology when it comes to very complex subsurface environment.
Kevin Roger : Okay. Thanks a lot. Have a nice evening.
Sophie Zurquiyah: Thank you. Jérôme, you wanted…
Jérôme Serve: Very quickly on the EBITDA, there is -- as Sophie said there clearly the positive impact of the full through the additional revenues, both Geoscience and Earth Data. And you're right, there is also some positive impact, not 100% yet, because we still had the remaining part at to show for the quarter. But a bit of positive already this quarter. And from Q2 onwards, it will be 100% zero impact of share both at the EBITDA and the cash flow.
Kevin Roger : Okay. Thanks a lot.
Operator: Thank you. Now we're going to give our next question, and it’s comes from line of Daniel Thomson from BNP Paribas. Daniel, your line is open. Please ask your question.
Daniel Thomson: Hi. Good evening. Yes, two questions, please. So firstly, on SMO, usual question on visibility on mega-crew surveys over the next 12 to 18 months. Has anything changed here? You mentioned we could potentially see some slippage in these, but is there anything sort of towards the back end of this year that you're factoring into your plan that looks particularly at risk? And then secondly, just on transfer fees for the business. Obviously, there's one big transaction Chevron has that is expected to close over the next 12 months or so. Could you give us any indication of the size of this one? And is it customary for the license fee to always be transferred? Yes, just trying to figure out how discretionary this one is going to be? Thank you.
Sophie Zurquiyah: Yeah. Good evening, Daniel. On SMO, we're not factoring this year any sort of enormous deal, but the land, as I put it out, remains very active. And you all know Saudi Arabia is sort of managing their CapEx, although they continue to be quite active on the seismic side. But that we're going to go for an extra crew and that is getting delayed, but there's still a number of active crews there. But other parts like North Africa, Abira is quite active. Mexico, actually, we hear -- I've heard the large OFS saying that for them, Mexico was down, actually precisely quite active. And so the land activity overall is the base activity is quite good. The part that's not so active for us right now is the OBN is the marine side on ocean bottom. So I'd say SMO metal nothing enormous, but good base activity. The -- on the transfer fee side, yes, you pointed out the transaction that we all have in sight. I think it's too early to say anything because it ends up being the result of the transfer fee, depends on the data that actually the new company wants to transfer. And that is part of -- that is being negotiated basically. So it's a bit early, but I don't -- we don't expect it to be in sort of an extraordinary number. It would be sort of a part of the expected level of transfer fee that we would have from one year to another.
Daniel Thomson: Okay. Thank you for the color.
Operator: Thank you. [Operator Instructions] Now we're going to take our next question. And it comes from the line of Prithvi Vetsa from Bank of America. Your line is open. Please ask you question.
Prithvi Vetsa: Yes. Good evening. Thanks a lot for taking my question. I'll be very quick. It's more of a clarification. So on the net cash flow guidance of $100 million, does it include the 42 million refinancing cost or does it exclude this, I know you have answered previously, but the line disconnected so I just wanted gratification?
Jérôme Serve: It exclude 40 million refinancing cost, sorry.
Prithvi Vetsa: Yeah. Thank you.
Sophie Zurquiyah: Sure.
Operator: Thank you. [Operator Instructions] There are no further questions for today. I would now like to hand the conference over to the management team for any closing remarks.
Sophie Zurquiyah: Well, thank you very much for attending this call. I think our first quote was quite straightforward. And thank you again for your attention and look forward to interactions in the future. Thank you. Operator: This concludes today's conference call. Thank you for participating. You may now all disconnect. Have a nice day.